Operator: Good afternoon. My name is Kelly and I will be your conference operator today. Now, I would like to welcome everyone to Universal Electronics First Quarter 2025 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. [Operator Instructions]. I will now turn today's conference over to Kirsten Chapman of Alliance Advisors, Investor Relations. Please go ahead.
Kirsten Chapman : Thank you, Kelly. And thank you all for joining us for the Universe Electronics first quarter 2025 financial results conference call. By now, you should have received a copy of the press release. If you've not, please contact Alliance Advisors Investor Relations at (415) 433-3777 or visit the Investor Relations section of the website. This call is being broadcast live over the Internet. A webcast replay of this call, including any additional updated material non-public information that might be discussed during this call, will be available on the company's website at www.uei.com for one year. During this call, management may make forward-looking statements regarding future events and the future financial performance of the company and cautions you that these statements are just projections and actual results or events may differ materially from those projections. These statements include the company's ability to continue capturing new product and new customer wins in the connected home space, resulting in product revenue growth particularly through the development and delivery of unique and innovative solutions including the company's new energy harvesting, sensors and remote control solutions. Continued focus on the company's R&D spend towards projects that translate into new revenue streams; the stabilization of traditional subscription broadcasting business leading to a more predictable revenue stream. The continued strength of the U.S. dollar as compared to China's and Vietnam's functional currencies; management's ability to continue managing its business profitably through continued improvements in the company's cost structures, optimizing the company's manufacturing facilities and improving its cash flows; management's ability to manage and mitigate the effects that tariffs could have on the company's profitability through price increases and other efforts. The effects of the company's stock repurchase program may have on its stock price and value; and the direct and indirect impact the company may experience with respect to its business and financial results stemming from the continued economic uncertainty affecting consumers' confidence in spending, rising energy and freight costs, natural disasters, governmental actions including increasing domestic and retaliatory tariffs; reducing incentives to businesses worldwide; the risk of doing business or operating in certain parts of the world; and political unrest, including war, terrorist activities or other hostilities. The company undertakes no obligation to revise or update these statements to reflect events or circumstances that may arise after today's date and refers you to the press release mentioned at the onset of this call and the documents the company has filed with the SEC, including its 2024 annual report on Form 10-K and the periodic and current reports filed or furnished since then. In management's financial remarks, adjusted non-GAAP metrics will be referenced. Management provides adjusted non-GAAP metrics because it uses them for budget planning purposes and for making operational and financial decisions, and believes that providing these non-GAAP financial measures to investors, as a supplement to GAAP financial measures helps investors evaluate UEI's core operating and financial performance and business trends consistent with how management evaluates such performance and trends. In addition, management believes, these measures facilitate comparisons with the core operating and financial results and business trends of competitors in other companies. A full description and reconciliation of these adjusted non-GAAP measures versus GAAP are included in the company's press release issued today. Joining me today are the Office of CEO, which includes Chief Financial Officer, Bryan Hackworth ; Senior Vice President, Corporate Planning and Strategy, Ramzi Ammari; and newly promoted Chief Operating Officer, Rick Carnifax. Ramzi will provide an overview of our channels. Bryan will deliver the detailed financial results and conclusions. Then Rick will join them for the Q&A. It's my pleasure to introduce Ramzi Ammari. Please go ahead, Ramzi.
Ramzi Ammari: Thank you, Kirsten. And thank you all for joining us. I'm delighted to speak with you today as I'm deeply passionate about UEI and our mission to create smarter living. As you're aware, during the past few years, as we recognize the challenges facing our home entertainment business, we've been investing in new markets and channels to generate new revenue growth. I'm excited to report that our efforts focused on connected home market are delivering results. Starting with our Q1, 2025 financial results, we will begin to provide sales detail for both the connected home and the home entertainment channels. Bryan will discuss that and our financials in detail later on the call. Briefly, here are the highlights of our quarterly performance. In Q1, 2025, net sales were within our expectations, driven by a 31% growth in our connected home channel. Our Q1, 2025 bottom line improved $0.14 compared to Q1, 2024. These results reflect the impact of new customers and product revenue growth, as well as growth in our existing customer relationships and the stickiness of our long lead sales. Now I'd like to review a few channel highlights. During Q1, sales grew across our entire connected home portfolio. Sales orders increased for our climate control solutions from major HVAC OEMs and for our Zigbee thermostat and sensor products in security. Additionally, we started shipping new and innovative outdoor sensor for Somfy, which measures both luminosity and temperature. Overall, we expect to see continued demand for our connected home solutions throughout the remainder of the year. Our home entertainment channel is performing to our expectations. During the quarter, we delivered quick set updates to all our major smart television providers for their 2025 model TVs. We also began shipping a new sustainable green remote for a major operator in Europe. This ultra-low power voice remote significantly reduces battery waste during the life of the remote. Now I'll turn it over to Bryan to provide an update on our financials.
Bryan Hackworth : Thank you, Ramzi. First, I'd like to discuss the sales detail we'll begin reporting this quarter. Over the past few years, we have focused most of our R&D spend on control products designed to operate outside the traditional home entertainment stack, such as climate control, home automation, and security. While sales growth from this new area of focus has taken longer than expected, we've won several projects with major customers over the past few years that are now translating to meaningful revenue. As a matter of fact, for the first quarter of 2025, the connected home sales comprised 34% of our total sales and growth in these new categories more than offset the decline stemming from cord cutting. We expect the same for the second quarter, which we'll discuss later when providing guidance. For this reason, we believe we have reached a point where it makes sense to break out sales between the two channels, connected home and home entertainment. The connected home channel represents climate control, smart home, and security product sales sold primarily to HVAC, security, home automation, and home appliance customers. The home entertainment channel represents entertainment-related product sales sold primarily to video service providers, consumer OEMs, and retailers. It also includes sales associated with intellectual property licensing and our cloud-based software solutions. For the first quarter of 2025, net sales were $92.3 million at the midpoint of our guidance range, compared to $91.9 million for the first quarter of 2024. Connected home grew by $7.6 million, or 31%, to $31.7 million for the quarter ending March 31, 2025. This reflects project wins that we've announced over the past couple of years, primarily from a few large customers in climate control and home automation, as well as SKU expansion with existing accounts. Home entertainment decreased by $7.1 million, or 11%, to $60.6 million for the quarter ending March 31, 2025. The sales decrease in the home entertainment channel is due primarily to lower demand for subscription broadcasting products. While we're seeing signs of stabilization with the majority of our customers in North America and EMEA, in Latin America we're experiencing lower demand for our basic remotes. Gross profit for the first quarter of 2025 was $26.1 million, or 28.3% of sales, consistent with the prior year's rate. With a strong U.S. dollar compared to the functional currencies in China and Vietnam, and increased overhead absorption expected from higher levels of production, we expect improvement in our gross margin rate for the second quarter. I'll now take a minute to discuss tariffs. At the current tariff rates, there will not be a material effect on our financials, because we've increased sales prices to offset the tariff costs for products destined for the U.S. market. However, the status of tariffs has been, and may continue to be, a fluid process. If permanent changes to tariff rates were to be enacted, resulting in a material adverse effect to our bottom line, we would respond, as we always have, to mitigate its effect. Over the past several years, we have proven to be adept at navigating regulatory changes affecting our business. Operating expenses were $27.6 million compared to $29.4 million in the first quarter of 2024, reflecting actions taken to reduce expenses. SG&A expenses decreased to $20.5 million from $21.8 million in the prior year quarter. R&D expenses decreased to $7.1 million for the first quarter of 2025, compared to $7.6 million in the prior year quarter. Operating loss was $1.5 million compared to $3.4 million in the first quarter of 2024. Net loss for the first quarter of 2025 was $1.5 million, or $0.12 per share, compared to $3.4 million, or $0.26 per share, in the first quarter of 2024. Next, I'll review our cash flow and balance sheet. We have made significant progress over the past several quarters by improving our cost structure and working capital. In the first quarter of 2025, typically a seasonal low, we generated $9 million of cash flow from operations and paid down debt, resulting in a net debt position of only $3.6 million at March 31, 2025, compared to $10.2 million at year end. Our strength and balance sheet and cautiously optimistic outlook, which I will discuss in a minute, affords us the opportunity to purchase shares at an attractive price. We currently have approximately 778,000 shares remaining on our share repurchase authorization, and we will begin to buy back shares in the open market. Now, turning to our guidance. For the second quarter of 2025, we expect sales to range from $91 million to $101 million, compared to $90.5 million in the second quarter of 2024, representing a growth between 1% and 12%. We expect connected home sales to range from $32 million to $36 million, compared to $23.3 million in the second quarter of 2024, representing growth between 37% and 55%. In home entertainment, we expect sales to range from $59 million to $65 million, compared to $67.2 million in the second quarter of 2024, representing a 3% to 12% decline. We expect EPS to range from $0.05 to $0.15 per diluted share, compared to a loss per share of $0.09 in the second quarter of 2024. While we're excited about the revenue growth in connected home and optimistic about its potential, I think it's important to note that sales in this new channel are not as predictable as sales in home entertainment. Thermostats, for example, are tied to large-ticket items such as HVAC units and, therefore, can be more vulnerable to macro-level trends. For this reason, I encourage investors to review growth in connected home across multiple quarters, rather than on a quarterly basis. Before I open the call for questions, I'll reiterate, over the past few years, we have successfully taken action to improve UEI's financial condition. These cost measures have enabled us to continue to maintain our technology leadership position in home entertainment, while allowing us to invest in new products and technologies to achieve our long-term goal of becoming a leader in connected home. Operator, please open the call for questions.
Operator: Certainly. The floor is now open for questions. [Operator Instructions] Your first question is coming from Stephen Frankel with Rosenblatt Securities. Please pose your question. Your line is live.
Stephen Frankel : Good afternoon, and Bryan, thanks for the breakout. I think that really is helpful in understanding the dynamics underneath the numbers. So, can we start with customer concentration, and then I'll have another question for you.
Bryan Hackworth: Sure. We had two 10% customers in the quarter. Daikin was at 17.7%, and Comcast was at 11.2%.
Stephen Frankel : Okay, and then if you look at the HVAC space where you've announced a lot of wins over the last two years, kind of how many of those top 10 customers have yet to ship their first unit with you? What's the backlog look like in terms of not dollars, but in terms of number of partners that haven't gotten going yet?
Bryan Hackworth:  Yeah, we've shipped the majority of them. I think we're up to – at the top 10, I think we've won, I think, eight of the accounts. And as you know, over the last couple of years, the launches have been a little bit delayed, so it's taken longer than we initially expected. However, we're starting to launch. You are seeing it now in the Q1 results. It's showing meaningful revenue. So the good news is we're at that point where we are shipping, and I think of those eight, I think we've probably shipped probably at least five of them. The key now is to continue to win more SKUs within those accounts, just like we did with Daikin or you go back years ago with Cable, where you win an account, you win a SKU, you prove yourself, and then you get additional SKUs, and that's how you end up building meaningful revenue.
Stephen Frankel : Okay, and then when you look at your home control business, what percent of that is shipped to outside of the U.S.?
Bryan Hackworth: I think the U.S. is – outside is probably going to be – the U.S. is the majority of it. I don't have an exact figure on that, but the U.S. is the majority of the home control breakdown. I think it's about 30%, 40% in the total, but I’ll get you… [Cross Talk]
Stephen Frankel : Okay, so even with the large percentage to Daikin, you are still majority U.S. in home control.
Bryan Hackworth:  Yeah, Daikin's in connected home.
Stephen Frankel : Oh, yeah, I'm sorry. I was talking about connected home. I'm sorry. That's what I was…
Bryan Hackworth: Oh, I thought you said home entertainment. The majority of HVAC is outside the U.S.
Stephen Frankel : Okay, so that's one thing in your favor when it comes to tariffs. And then in terms of your major subscription broadcast partners, if these tariff rates are higher than the kind of 10% number, you feel like they'll be willing to share the pain with you, and that's why you are not concerned about that being a burden in the back half of the year?
Bryan Hackworth: Yeah, well, I wouldn't say I'm not concerned. All I'm saying is, right now, I don't know how it's going to play out. All I could do is go by what the current state is, and at 10% across the board, we're able to handle this. We're able to pass on the cost to our customers. I don't expect it to have a material effect on our financial statements. It will have an effect on the gross margin rate – not gross margin dollars, but gross margin rate, because if you're passing on costs, the additional revenue is basically zero calories, so it will have a little bit of pressure on the rate. But in terms of the rest of the year, we've just got to see how it plays out. I mean, the one thing that I think we've proven over time is that we're adept at reacting to some of these regulatory changes that affect our business. So I think we have locations throughout the world, and if changes were to occur that are permanent in nature, that adversely affect our financial position, then we're going to have to react. And so I wouldn't say I'm not concerned about it. I just have nothing to react to right now. So it's a wait-and-see approach. I think everybody's in the same boat. There's a lot of uncertainty in the world right now, but the one thing I'm confident about is that we've proven that we're very adept at reacting to these difficult challenges.
Stephen Frankel : Okay, and then last question. How about an update on the CEO succession plan and the search?
Bryan Hackworth: Yeah, the board's been interviewing people. They have a search committee. They've continued to interview, and we'll see how that goes. I would say in the interim though, I'm comfortable and confident with our team here. Ramzi's been here with UEI for over 20 years. He's Head of Product Development. I've been here, as you know, for over 20 years. Rick, our newly appointed Chief Operating Officer, he's been here three to four years, but it's probably felt like ten to him because he's had a lot of major activity to sift through. So he ran the project with shutting down GTQ. He managed and executed the spin-up of Vietnam, as well as the downsizing of Mexico. So, he's got a lot of experience under his belt. I think with us three, I feel comfortable in this interim situation.
Stephen Frankel : Has the board hired an outside search firm, or they are kind of networking and interviewing people?
Bryan Hackworth: No, they hired a search firm.
Stephen Frankel : Okay. Great. Thank you. I'll jump back in the queue.
Bryan Hackworth: Sure.
Operator: Your next question is coming from Greg Burns with Sidoti & Company. Please pose your question. Your line is live.
Greg Burns : Good afternoon. In terms of the gross margin for the quarter, I don't see you calling out any excess overhead adjustments. Are we just not calling those out anymore, or have they gone away?
Bryan Hackworth: Yeah, no, we stopped doing that about a year ago. I included it in last year's remarks just for informational purposes, but it actually was not included in the pro forma financials, so we stopped doing that. We're basically done. Like I said, we finished the shutdown of GTQ a while ago. We spun up Vietnam. We downsized Mexico, so that's complete.
Greg Burns : Okay, all right. And then when we look at the growth trajectory in the connected home, how should we think about that this year based on maybe what you have in the pipeline in terms of new products or projects that you expect to come to market over the next maybe year or so? What kind of visibility do you have there, and do you expect to see sequential revenue growth throughout the year, similar to what you are implying in your second quarter guidance?
Bryan Hackworth: Yeah. I mean, all we do is provide guidance one quarter out, but I will say that you are looking at strong growth in Q1, projected strong growth in Q2. I feel good with where we're at and the fact that we're launching these products. The fact that it took longer was frustrating, but the fact that we're launching now and you are seeing it translate to growth is positive. We still have a certain amount of wins that we still need to launch, and we continue to qualify and quote on projects. So, I mean, this is a continuous process that in order to grow, you have to continue to quote and win additional projects, and I think we're doing that. So I feel good with where we're at. The only question mark I really have from a macro level perspective, is right now there's just a lot of uncertainty right now in the market, and as I mentioned in the prepared remarks, when you are dealing with large ticket items like HVAC. I mean, you're talking about 10,000, 12,000, 15,000-hour purchases. If there's, consumer sentiment were to go south and if tariffs were – right now it's a fluid process. I can't predict what's going to happen. I think that's pretty common. I think most people are saying the same thing. That's always a question mark. But right now all we can do is control what we can control, and that is launching and shipping the remainder of the project wins and continue to win new accounts as well as skew expansion within existing accounts. So I like where we're headed.
Greg Burns : Okay. Would you at all be able to quantify maybe the backlog or pipeline that you have? I think in the past, Paul had mentioned like an $80 million number in terms of revenue opportunity from the projects you've won. Is there any kind of quantification you can give on where you stand now?
Bryan Hackworth:  Yeah, I don't have that exact number. I will say that of that $80 million that was referenced a couple years ago, we haven't shipped all of it. Because of the delays, some shipped, a little bit shipped in ‘24. Some are shipping in ‘25, and we have some slated to ship in ‘26. So from a full-year effect, you are really not going to get that until 2027, because it's been shipped over a three-year period or at least launched over a three-year period. But it's going right now, like I said, it's been a little frustrating how long it's taken, but over the last couple of quarters, I think we've made a lot of progress, and I expect to have continued positive progress.
Greg Burns : Great. Thank you.
Operator: There are no questions in queue at this time. I would now like to turn the floor back over to Bryan Hackworth for closing remarks.
Bryan Hackworth : Well, thank you for your continued support of Universal Electronics, and have a great day!
Operator: Thank you. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day! Thank you for your participation.
Bryan Hackworth : Thank you.